Operator: Good day, and thank you for standing by, and welcome to the Q4 2022 Comfort Systems USA Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Julie Shaeff, Chief Accounting Officer. Please go ahead.
Julie Shaeff: Thanks, Justin. Good morning. Welcome to Comfort Systems USA's fourth quarter and full year 2022 earnings call. Our comments today as well as our press releases contain forward-looking statements within the meaning of the applicable securities laws and regulation. What we will say today is based upon the current plans and expectations of Comfort Systems USA. Those plans and expectations include risks and uncertainties that might cause actual future activities and results of our operations to be materially different from those set forth in our comments. You can read a detailed listing and commentary concerning our specific risk factors in our most recent Form 10-K as well as in our press release covering these earnings. A slide presentation has been provided as a companion to our remarks. The presentation is posted on the Investor Relations section of the company's website found at comfortsystemsusa.com. Joining me on the call today are Brian Lane, President and Chief Executive Officer; Trent McKenna, Chief Operating Officer; and Bill George, Chief Financial Officer. Brian will open our remarks.
Brian Lane: All right. Thanks, Julie. Good morning, everyone, and thank you for joining us on the call today. We are pleased to report a great finish to 2022 with increased revenue, record earnings, fantastic cash flow and a surge of backlog. Our teams delivered amazing execution, and we are grateful for their hard work. For the fourth quarter, we earned $1.54 per share on revenue of $1.1 billion. Full year revenue surpassed $4 billion and included same-store revenue growth of 22%. Backlog received an especially strong lift this quarter and our modular off-site construction operations as large customer purchases were committed in advance to support our ability to invest in modular construction capacity. Our backlog is now over $4 billion, a same-store increase of 75% from a year ago. Cash flow was also extraordinary in the fourth quarter. And for the full year, our cash flow exceeded our excellent earnings by a substantial amount. We are excited to announce that on February 1, we acquired Eldeco, a premier industrial electrical based in South Carolina. Eldeco will further strengthen our Electrical segment. And thanks to its capabilities and relationships in a perfectly located market for us, we believe that this combination will allow us to achieve important synergies over the coming years. We also declared a larger-than-normal increase in our dividend of $0.025 per share, which increases our quarterly payout to $0.175 per share. This increase reflects our continuing strong cash flow and our desire to reward our shareholders. I will discuss our business and outlook in a few minutes. But first, I will turn this call over to Bill to review our financial performance. Bill?
Bill George: Thanks, Brian. So revenue for the fourth quarter of 2022 was $1.1 billion, an increase of $261 million or 30% compared to last year. Same-store revenue increased by $200 million or 23%, with the remaining $61 million increase resulting from our acquisitions. Revenue for the full year 2022 increased by more than 35% compared to 2021 to $4.1 billion. Our full year Mechanical Services segment revenue increased $636 million or 25%, and our Electrical Services segment increased by 81% to $431 million. Same-store revenue increased by 22% or $669 million in 2022, a broad-based increase driven by strong ongoing market conditions. Inflation of equipment and materials also contributed to revenue growth. With respect to revenue prospects for 2023, our growth is hard to predict because of unknown inflation developments and potential variability and the timing and revenue contribution of new bookings. However, we currently estimate 2023 same-store revenue growth to be in the low to mid-teens for the full year with larger percentage increases likely to occur earlier in the year considering prior comparables. Gross profit was $211 million for the fourth quarter of 2022, a $57 million improvement compared to a year ago. Our gross profit percentage was 18.9% this quarter compared to 18.0% for the fourth quarter of 2021. Quarterly gross profit percentage in our Mechanical segment increased to 19.1%, while margins in the Electrical segment rose significantly to 18.2% this year from 14.8% in 2021. For the full year 2022, gross profit increased by $178 million, and our gross profit margin was 17.9% in 2022 as compared to 18.3% in 2021. Our full year gross profit margin held up remarkably well considering the spike in revenue, the relative increase in construction and the changes in our cost mix as higher prices meant the materials increased as a proportion of our cost and revenues. It is currently challenging to predict how our margins will unfold in 2023. Important factors that will influence our margins include ongoing cost inflation and the fact that with the surge in bookings, we will be early in many projects and new construction should also expand as a proportion of our revenue. These factors are especially prevalent in our modular work where we will also have ramp-up considerations as we implement new capacity. Despite these structural trends that might put some pressure on margins, we expect good continued profitability, and we are optimistic that gross margins in 2023 will be at or near the strong levels that we achieved in 2022. SG&A expense for the quarter was $132 million or 11.8% of revenue compared to $105 million or 12.3% of revenue for the fourth quarter in 2021. On a same-store basis, SG&A was up approximately $17 million. For the full year, SG&A expense as a percentage of revenue was 11.8% in 2022, down from 12.2% for 2021. On a same-store basis for the full year, SG&A increased $56 million, largely due to increased headcount to support our higher activity levels. Our operating income increased by 62% in the fourth quarter of 2022 to $80.1 million when compared to this quarter last year. Interest expense in 2022 was higher than a year ago due to the increased interest rates on our revolving credit facility. Our average interest rate on our credit facility was 5.7% as of December 31, 2022, and we expect that with higher rates, our interest expense will increase in 2023 compared to 2022, especially early this coming year when comparable periods a year ago had much lower rates. Our tax rate for the quarter was 21%, while our full year tax rate was a negative 4% due to R&D tax benefits related to prior years. We continue to view our normalized tax rate to be approximately 22% to 23%. After considering all of the factors above, net income for the fourth quarter of 2022 increased by over 40% to $55 million or $1.54 per share. This compares to net income for the fourth quarter of 2021 of $38 million or $1.04. Our full year earnings per share for 2022 was $6.82. Excluding the R&D tax benefits related to prior years, our 2022 earnings per share was $5.29, and that $5.29 earnings compares to $3.93 per share in the prior year after those adjustments. For our fourth quarter, EBITDA increased by 47% to $100 million. Our full year 2022 EBITDA has increased by 32% compared to the prior year, and it was $338 million. Full year 2022 cash flow was $256 million compared to $161 million in 2021. Our cash flow benefited from advanced payments that we negotiated as part of our modular backlog commitments that were mainly received in December. This work has not started. So receipt of this cash is reflected in a $73 million increase in our deferred revenue liabilities at the end of 2022. Our free cash flow also benefited from the $33 million refund from the IRS for the R&D tax credit that we got in the first quarter, but partially offsetting these benefits were roughly $50 million of net tax payment that we made in the fourth quarter that arose from Congress' failure so far to extend the immediate expensing of research and experimental expenditures. We expect a meaningful increase in capital expenditures in 2023 as compared to 2022. This increase will be driven by investments to build out large additional production facilities that we have leased in Texas and North Carolina to support our increased modular backlog. We began the year with just over 1 million feet of modular production space. And when our new facilities come online by midyear, that capacity will have increased to over 2 million square feet. We also expect that during 2023, we will have higher-than-normal fleet investments as we recover from deferrals and vehicle availability during the pandemic. Overall, we expect CapEx spend for 2023 of roughly $55 million to $70 million. Brian mentioned our acquisition of Eldeco earlier this month, Eldeco, is headquartered in South Carolina and performs electrical design and construction in the Southeastern region of the United States. We expect this acquisition to contribute annualized revenue of approximately $130 million to $140 million with EBITDA of $8 million to $9 million. Because of the amortization expense related to intangibles and other acquisition costs, this acquisition is expected to make a neutral to slightly accretive contribution to earnings per share in 2023 and 2024. Our debt at the end of the year was $256 million, and we were able to achieve our goal of reducing our leverage below 1 times EBITDA by year-end. Our current debt-to-EBITDA leverage stands at 0.76. We are continuing to opportunistically repurchase our shares. In 2022, we repurchased 442,000 shares at an average price of $86.45. Since we began our repurchase program in 2007, we have bought back 10.1 million shares at an average price of $24.52. And with that, that's all I have of financial, Brian.
Brian Lane: Okay. Thanks, Bill. I am going to spend a few minutes discussing our backlog and markets. I will also comment on our outlook for 2023 and on inflation and supply chain considerations. Our backlog at the end of 2022, it was a record $4.1 billion. Year-over-year, our same-store backlog increased by $1.7 billion or 75%, a broadly based increase with strong bookings in both our electrical and mechanical construction businesses. During the final three months of 2022, we augmented the increases in our traditional business with substantial new bookings in our oxide construction business. And sequentially, our same-store backlog increased $813 million despite heavy backlog burn in the fourth quarter. These early bookings will burn over a longer period and include orders that will be produced in 2024. The new bookings in our modular oxide construction operations reflected a decision by a key customer to reserve plant capacity father in advance and to thus facilitate our ability to invest to increase our capacity. As mentioned, we are doubling our capacity, further accelerating the rapid growth in modular construction that we achieved over the last few years. We believe that we have unmatched capability in complex mechanical electrical modular, including scores of professionals with unique design and engineering capability, and we are investing heavily to maintain and increase that advantage. Industrial customers were 48% of total revenue in 2022. This sector, which includes technology, life sciences and food processing will remain strong for us as industrial is heavily represented in new backlog. Institutional markets, which include education, health care and government, are also strong and represented 31% of our revenue. The commercial sector is remaining active. But with our changing mix, it is now a smaller part of our business at about 21% of revenue. A significant portion of our service revenue is performed for commercial customers. So the proportion of our overall construction revenue that is commercial is low by historical standards. Construction was 78% of our full year 2022 revenue with 49% from construction projects, for new buildings and 29% from construction projects in existing buildings. Service was strong this year with 2022 service revenue of over $900 million. Service was 22% of our total revenues with service projects providing 9% of revenue and pure service, including hourly work, providing 13% of revenue. 2022 service revenue is up by 33%. And with our continuing strong margins, service is a great source of profit and cash flow for us. In all our activities, including both service and construction, we are encouraging and supporting our customers as they seek to improve the efficiency and sustainability of their buildings and operations, and we are raising our standards in the areas of sustainability, diversity and governance. Ongoing demand is holding up, and our record backlog combined with strength in the industrial and institutional sectors lead us to expect continued growth and strong ongoing profitability in 2023. As we look ahead, our priority remains to preserve and grow the best workforce in our industry, so we can continue our legacy of safely constructing, installing, maintaining, repairing and replacing our nation's buildings while helping our communities achieve sustainable growth. We are investing to meet the needs of our customers, and we are grateful for their trust. We will continue to invest in our workforce, technology and execution cables. Our skilled workforce is the heart and soul of Comfort Systems USA, and we will continue to develop and reward our unmatched team members as they strive each day to work safely, improve their communities and serve our many markets. I want to end by thanking our over 14,000 employees for their hard work and dedication. I will now turn it back over to Justin for questions. Thank you.
Operator: [Operator Instructions] And our first question comes from Julio Romero from Sidoti. Your lines is now open.
Julio Romero: I guess to start on the modular side. You guys mentioned new construction is expected to grow as a proportion of revenue, and I believe you include modular in that. Just if you could talk about what percentage of sales modular makes up today? And what does that look like in 5 years' time?
Brian Lane: Go ahead, Bill.
Bill George: Well, so modular is 10% of our revenue, which is really, it's been 10% for a couple of years. But if you remember, we did a lot of acquisitions in '21 and '22, and we did 5 in 2021. None of those acquisitions had modular. So for modular to stay at 10%, it had to grow very, very quickly even up until now. With the new backlog, we expect modular will continue to grow and will probably start to increase as a percentage of our revenue. We project that it will gradually -- as the new capacity comes online, and keep in mind that, that will take building out 1 million square feet and getting it operational, will take a few quarters. But as that new capacity comes online, we would expect to see modular get to something like 15% of revenue even as the rest of the company continues to grow.
Julio Romero: I guess on the backlog, how much of the backlog boost that you saw in the quarter do you attribute to the modular portion?
Bill George: Well, so in the fourth quarter, virtually all of the huge sequential jump was modular. There was -- it was specific bookings that we received in December from a customer who really was made the decision to commit to us and give us commitments in advance in order to support our ability to make some investments that we needed to make if we were going to meet the capacity needs that they had. Having said that, we had very, very heavy backlog burn in the fourth quarter. And with the huge increase in backlog in the first 9 months of this year in our other space, it's pretty impressive to me that the rest of our business kept.
Brian Lane: Yes, yes. We're very fortunate the fourth quarter continues, opportunities are still very robust. So we'll look in that pretty consistent bookings this year.
Julio Romero: I guess just last one for me would be just that $4 billion in backlog. Just how far out are you guys booked? And are you coming close to maybe slowing? or Are you coming close to not taking orders for '24 at this point, I guess?
Brian Lane: No. I think for 2023, we're in pretty good shape. There will always be some small work to come in, good customers, et cetera. But we're off to a really good start for 2024. But we definitely have a lot of capacity to take in 2024. That would start in the book today.
Operator: And our next question comes from Brent Thielman from D.A. Davidson. Your line is now open.
Julio Romero: Brian, when you look at sort of 23% same-store growth this quarter, margins expanding, it seems like your group is just doing a terrific job in terms of productivity in the field, sort of a 2-part question. What are the things you and your teams are doing so well, I guess, to manage this extraordinary growth with what looks like no parent stumbles. And then maybe kind of how that informs you and gives you the confidence around taking on an even larger backlog here?
Brian Lane: Yes. Brent, thanks for the question. I really appreciate it. To get these results, obviously, we are getting exceptional outstanding performance from the field. And if you look at over about the last 10 years at the gross profit level, we've been performing at a really consistent level, which makes you very proud. But it's a combination of a lot of things, the companies that we've brought in, the ones we've had have a lot of good people, great leadership. We provide a lot of training, utilization of prefabrication, BIM modeling is throughout the organization. We're really getting a lot of collaboration among companies, which I think is just outstanding. It used to be 1 or 2 instances 10 years ago, and now it seems like everybody's worked on everyone. It's fantastic. The modular, as we've talked about, speak for itself. But we want to make sure everybody performed that safely, as you know, productively and make sure we're delivering a quality product for our customers, which our folks are doing. So we're just very fortunate, Brent, to have the workforce and the leadership we have direct at them.
Julio Romero: I know you can't talk specifics about the key customer, but more interested just on the insights, their commitment to this capacity. Is it simply just sort of a sign of the capacity absorption out there? Are your competitors committed further out? And then I guess, Brian, any signs from some of your other customers looking to sort of secure your services further and further out? Or is this kind of a unique situation?
Bill George: I'm going to start with the first part of that. I think this is really a testament to that particular customer's deep understanding of what's happening right now in the United States, right? With reshoring, with the new commitments to ship manufacture to the need for battery by virtually everybody who's involved with vehicles, with frankly, the data center build-out continuing and with AI becoming denser and requiring more sophisticated mechanical and electrical. And even there are plenty of other drivers like food processing. Pet food is very, very smart, hard. Pharmaceuticals, right? That reshoring is still just in its infancy. So there is so much demand right now. I think this customer looked around and realized not everybody who wants to build in or thinks they're going to build a building in the next few years is going to end up having the building they're expecting. And so they're just making sure that they get what they need to make their business successful. I think that will begin to dawn on more and more people. We'll see.
Brian Lane: I think you answered what he asked me to. Brent, did that answer your total question?
Julio Romero: Yes. Yes. I guess an annoying question around the growth outlook here. I mean you've got 75% backlog growth coming into the new year. Totally recognize some of that spaced out. I guess what would you need to see to stay this low to mid-teens same-store growth outlook is too concerned and we need to kind of work through the year, see how your book and burn business is coming in. Just kind of wondering what the outlooks are there.
Brian Lane: Yes. I think that's a really good question. It's one I think we spent a lot of time throughout the organization. And you're exactly right. What the actual number is, is nice, but it's really only when it happens, the labor availability and what the spacing of it is various times of the year, who has what resources. So right now, we're very comfortable with the labor plans we have and the resources that we have. But that's a daily situation you monitor, Brent. But we're in good shape right now with the workload, the allocation of the work and the skill sets we have.
Operator: And our next question comes from Adam Thalhimer from Thompson Davis. Your line is now open.
Adam Thalhimer: Great quarter. I guess as I'm trying to figure out the long-term modular opportunity. What would prevent you from, if you needed to, from going from 2 million square feet to 4 million square feet down the road?
Bill George: So there's no law against it. And the question is, could we manage that kind of growth? I think the answer is that's one of the great things about being Comfort Systems, right? We have -- 90% of our business is this fantastic, seasoned, incredibly valuable, really desperately needed production capability that gives us great cash flow and honestly, insights and engineering and things that we need in order to take advantage of what we think is a very important long-term trend in this industry. We think the offside or modular construction, which today is a tiny part of 1% of how things are build in the U.S., is bound to grow. And we think that the most interesting part of modular is the complex part of modular. So there were big investments by like SoftBank trying to solve modular. And everybody kept going after glorified mobile homes, things that were built of wood and structural stuff. We think that the most obvious place to get the benefits of technology and the benefits of improvement and savings and of displacing or augmenting extremely skilled labor needs is in the complex part of modular. These modular electrical mechanical plants are perfect for it. So we've thought this for years. We started slow back in 2011. We've had regular growth, regular investment. The acquisition we did at PAS was because we simply admired what they were able to do. We felt like they were the ones that really had the capability to help us, and we thought we could help them. And we just really believe it's an important feature of our go-forward ability to add value for our shareholders but also to really stay on top of the technology of our business.
Adam Thalhimer: Switching gears. I mean you're going to have a lot of revenue this year. Just curious kind of what you're seeing in the bidding environment and if you think you can continue to grow backlog.
Brian Lane: It's Brian. Bidding opportunities, opportunities in general are very strong. No real letup at all. So I think you'll see us at least hold out water, maybe grow a little bit as we go through the year. This is a lot of work out there with the various government funded programs, et cetera. We just need to build a lot of a lot of industrial capability, which is really in our whale house. I think what really excites me is that a lot of work that's coming out, we're working for good customers and doing work we're good at. And that's really a big help in a busy market. But in addition to construction, our service business has tripled over the last 10 years. I mean we're close to $1 billion in revenue and service, which is really given us tremendous margins and cash flow and profit as we talked about earlier. So we're talking a lot about construction here, but this service business is a really nice foundation for us as well. But in terms of the bidding market in construction, very good.
Adam Thalhimer: Last one for me. Just a couple of numbers. Bill, can you just make it easy on us for the interest expense? Like what is it like $5 million to $4.5 million and $4 million and then in the back half?
Bill George: If you take the second half of this year and annualize that, that's about what our interest expense will be. I have no reason to think it's going to change much. Well, there is one wildcard. It's how fast we pay down debt. So you could leave that in there as upside. But that's what I would do. That's what I did when I presented it.
Adam Thalhimer: And then did you give gross margin guidance, and I just missed them or expectations of some sort?
Bill George: Yes. So what we said was that we expect that the full year gross profit margins for Comfort will be very similar to the full year 2022. So at or near, I think, is what we said. Essentially, there are things that are going to really push against margins just like this year. The increase in new construction. We'll be early in a lot of work, even though we have started to get closeouts from the big surge of work we started a year ago. We've got a new even bigger surge, right, with this backlog. And so we'll be early in a lot of work. So we don't pull a lot of profit out of jobs when we're just starting them. And you also still have material as a percentage of cost, very high. We don't put as much margin on material as we do on labor. In fact, that's probably by far the biggest variable. Because at some point, inflation is and will normalize. And is it possible that a chiller that went up by 50% comes back down by some percentage, probably not back to where it was. So there's a lot of moving pieces. The good news is we make our money on our labor. That's much more predictable, and that's why we're so confident that we're going to have a good year and make a lot of money even in a situation where the amplitude of the wave around what could happen with revenue is pretty big. Our best estimate of revenue is mid-teens as we ramp up into this new work and new capacity and -- but we don't know.
Operator: And our next question comes from Alex Dwyer from KeyBanc Capital Markets. Your line is now open.
Alex Dwyer: Congrats on the quarter. So to stay on the margins, can we talk about gross margins by segment in 2023 and 2024? I mean, obviously, electrical had quite a run here. I'm not sure Electrical can ever like catch up on mechanical because of the service component mechanical and like the higher gross margins in mechanical with higher G&A. Is there room for Electrical to run further from now? Or what would the reason to be why or why not?
Bill George: So electrical has now achieved the same margins as mechanical in the project world. So right now, we're -- if you were to take -- mechanical, keep in mind, has more smaller projects. They have higher margin. They have more SG&A. Our average project size is bigger than electrical. But if you look at like-for-like, fully blended across our now coming up on $1 billion of electrical and $3 billion of mechanical, we're getting the same margins. We think that that's sustainable on average. Any given quarter, there can be a little bit of difference. And we think, yes. So we think it is sustainable in both mechanical and electrical, Brian.
Brian Lane: And also on the electrical front, which service basically went to zero during COVID. In 2022, we did have a pretty good size pickup in service. So I think that gives us strength that the margins will probably be pretty close to each other.
Alex Dwyer: And can you talk a little bit about the Eldeco acquisition you guys announced last night. Like what you guys really liked about this one? And then just more broadly on the M&A pipeline, like what are you guys seeing out there in the market? Should we expect more M&A in the near term in 2023?
Bill George: So I'd like to answer that, if you don't mind. We started talking -- the gentleman who sold us that company, his name is Allen. He is a perfect -- he and his team, and his team is fantastic. They are a perfect fit for Comfort. They're pretty much 100% industrial. They're right next to a lot of our really strong geographies. They had pre-existing respect and relationship for organizations that we had all around them. Their capabilities are really fantastic. It's a very old company. Almost everything that we like, that we feel like correlates with us being very, very happy to get teamed up with somebody is in that transaction. And I don't know. I'm extremely optimistic about that, Brian.
Brian Lane: Yes. I mean there -- it's really a pleasure to go there. They're really terrific people, and they think they'll love being at Comfort Systems as well. As far as the M&A pipeline, we are mindful that we have a massive surge in backlog that we have to pay a lot of attention to. An awful lot of our acquisitions when we do them, they are coming into existing operations where there is -- it requires effort for collaboration and integration. And so we are going to continue during '22 and then certainly going into '23, we will not hesitate to buy some company that like with Allen, we've been talking to for years and they're ready to sell, but we're not going to have our put on the accelerator. We're going to be very, very judicious mostly because our opportunity is so big in our existing operations that we still -- we're still doing good work absorbing the 5 significant deals we did in '21. And for us, there's no quota. For us, it's a matter of if we have -- we're finding the right people, we have conviction we're all go. But right now, we're going to be a little slow to go try to talk somebody into the fact that it's time that we're all busy.
Operator: And we have a follow-up question from Brent Thielman from D.A. Davidson. Your line is now open.
Julio Romero: Maybe just one more on the acquisition. Brian, Bill, I kind of seem to remember a year ago or a little less than a year ago, maybe you wanted to take you put off the accelerator just from the standpoint of kind of monitoring what's going on in this economy, and to see a deal seems to be encouraging in terms of what you see going forward. I mean is the idea that you'll take this in a simply a measured pace just because the business is growing so fast? Are you -- you feel like you have more confidence in your end markets sitting here kind of 9, 12 months later?
Bill George: Well, I can certainly tell you that for a company that's sitting in South Carolina, right, which is in a very favorable geography for reshoring and that has the capabilities to do the exact kind of work that's needed for all of the reshoring verticals that we just talked about, it's very, very easy to do that. Now would I be as quick to buy something in some remote part of the West that's building a lot of haptens and stuff. There's nothing wrong with that business. But I do think we would be much more mindful of sort of where people are and what they're good at. We love all of those businesses, but we think there's just especially good time to have this industrial capability.
Julio Romero: And then I guess with all the different factors that can influence the margin, would deflation be a bit of a tailwind here this year? Or has it not been enough to matter?
Bill George: If deflation materializes, which has not, it would be selective deflation on things where people just we got a premium temporarily because of shortages. It is certainly the case where we could have some -- we could have a quarter where that added a little bit to our earnings, right? But that would not be like a permanent change in our ability to earn money or anything. And our customers stood by us very, very well, really in a remarkable way they were willing to help us when these costs be unexpectedly came along. We're going to be very, very slow to take advantage of them on the other end of that. We play a very, very long game at Comfort. We are in -- of our 40 or so businesses, 30 of them are in midsized cities where we are doing the work for the same people decade in and decade out. And we don't have to extract every penny from these people every chance we get, right? We play a very long game on that point of view, and it stood us in very, very good stead.
Operator: And I am showing no further questions. I would now like to turn the call back over to Brian Lane for closing remarks.
Brian Lane: Okay, Justin. In closing, I really want to thank everyone for joining the call and your interest in Comfort Systems. And once again, thank our diligent employees. We are very proud of 2022 and very excited about 2023 and ready to get on with it. So be safe, and we'll see you all soon. Take care. Thank you.
Bill George: Thanks, everyone.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.